Operator: Good day, everyone, and welcome to the Domo Third Quarter Fiscal Year 2024 Earnings Call. Today's call is being recorded. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to turn the call over to Peter Lowry, Vice President, Investor Relations. Please go ahead, sir.
Peter Lowry: Good afternoon, and welcome. On the call today, we have Josh James, our Founder and CEO, and David Jolley, our Chief Financial Officer. I'll lead off with our safe harbor statement and then on to the call. Our press release was issued after the market close and is posted on the Investor Relations section of our website, where this call is also being webcast. Statements made on this call include forward-looking statements related to our business under federal securities laws. These statements are subject to a variety of risks, uncertainties, and assumptions. These include, but are not limited to, statements about future and prospects or financial projections and cash position; statements regarding the potential of our consumption-based pricing; statements about our sales team and technology, our expectations for new business opportunities, transactions and initiatives; statements regarding our channel of communications and upcoming events; statements regarding the potential of artificial intelligence and its impact on our business; and statements regarding the impact of macroeconomic and other conditions on our business. For discussion of these risks and uncertainties, please refer to documents we file with the SEC, in particular, today's press release, our most recently filed annual report on Form 10-K and our most recently filed quarterly report on Form 10-Q. These documents contain and identify important risk factors and other information that may cause our actual results to differ materially from those contained in our forward-looking statements. In addition, during today's call, we will discuss non-GAAP financial measures, which we believe are useful as supplemental measures of Domo's performance. Other than revenue, unless otherwise stated, we will be discussing our results of operations on a non-GAAP basis. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Please refer to the tables in our earnings press release for a reconciliation of our non-GAAP financial measures to their most directly comparable GAAP measure, which we have posted to the Investor Relations section of our website at domoinvestors.com. With that, I'll turn it over to Josh. Josh?
Josh James: Thank you, Pete, and thank you everyone for joining the call today. In Q3, we were able to exceed guidance for our key top-line metrics, including revenue, subscription revenue, and billings. A highlight in the quarter is that we had our highest operating income in history of $5 million, and our highest operating margin in history of 6%. Over the past few years, and especially the last few quarters, we have been incubating critical pivots that are finally coming together. They are clear and powerful priorities that are removing friction and strengthening our ability to deliver unmatched value to the market. Specifically, several years ago, we decided to test an idea: "What would customers do if they had unlimited access to features for an unlimited number of users and all visualization for free?" It was a simple value prop to customers. Pay for the value you are realizing. Well, after positive feedback we decided to run an even broader pilot last year, and the pilot proved to be a smash hit. We now feel like we've reached critical mass with over 20% of our ARR on the consumption model. As we continue to look at the results from this very large sample size, we feel very confident in making the decision and saying we're going all in on consumption. By the end of next year, we expect to have the vast majority of our revenue on the consumption model. Again, we now have over 400 customers on consumption contracts, representing over 15% of our customer base and over 20% of our ARR. When customers move to consumption, we are seeing user counts growing at almost 3 times the speed of seat-based customers. And we are seeing 3 times the adoption rate on premium features like data science. We've also rolled out reporting so our customers can see in real time what their consumption patterns are. So far, even with the highest usage our customers are seeing, the feedback has been incredibly positive because customers recognize the value of that usage. As an example, it took us eight years at a fast food chain to get an ARR of about $200,000. Now that they've converted to consumption, this company has committed to an ARR of over $550,000 over the next three years by expanding the use of Domo across the organization. One fun story to relate that has happened to me on multiple occasions over the last few months is watching how our customers react to the new model. I've seen the epiphanies go off in their eyes as they recognize and then look at people internally in the room and tell them conclusively that because they now have unlimited users, they can start looking at sunsetting all of their other BI technologies and legacy reporting tools and use Domo instead. Well, I couldn't have said it better myself. In support of our consumption strategy and to pave a completely open path to adoption, we've also launched a new freemium model. Freemium was impossible before our consumption model and gives everyone a risk-free opportunity to get in and try Domo with no obligations and no restrictions. Domo customers have access to all the Domo features with unlimited users and they can tackle any use case they want. And when they want to go bigger, they can click from within Domo to buy consumption credits and have an unlimited highway to multiply their impact on their business. This approach seamlessly aligns with our core philosophy of delivering value before requiring payment, reinforcing our commitment to providing accessible and valuable solutions to our users. We rolled out our free offering last month and will be rapidly iterating on it over the next quarter to focus on user experience and easy onboarding. We think that long term, this alters our ability to attract new customers and give them a friction-free path to move through the pipeline from free to paid usage to sharing with more users to broad use case adoption. Of course, this naturally leads to expanding credits and being ready for a long-term relationship with our sales and support organization. This new flow evolves us from having to work with cold leads to being able to talk with happy customers who already see the value of the platform and are ready to lean in more. To demonstrate the power of having a freemium model, let me share a story from two weeks ago. Our sales team had been calling a CTO prospect for over a year with no luck. One of our salespeople called the CTO on a Friday afternoon and left a message about freemium and the free credits it comes with. The CTO proceeded to sign up for a free instance, and over the weekend, multiple users connected to disparate data sources and built data flows powering over 40 reports. By Monday, the CTO was in love with the product and signed up for a three-year deal with a total contract value well into the six figures. And that was a three-day sales cycle. Our freemium product also completely changes the conversation with potential partners who have wanted to leverage our Domo Everywhere product to deliver data experiences through Domo for their own customers. In the past, if we had a customer with, say, 20,000 external end users, it would have required a major upfront investment, which often led our customer to reduce the use case to maybe just the top 5% of external customers. With freemium, however, we can give all 20,000 of those users a free instance of Domo immediately at no cost. This creates a very meaningful introduction to Domo for those end users with an obvious upgrade experience because they can experience the value and immediately expand and put more of their own data in our platform. In a consumption world, focusing on adoption through product-led growth and support programs is the critical path to success for both customers and for Domo. Increased adoption leads to happier and more successful customers, and the corollary is, of course, increased revenue. As we roll out features and training that support adoption, we've seen our customers rapidly expand their usage of our platform compared to when they were under seat-based pricing. For example, one of our largest customers had been a customer for six years. In those first six years, they had grown to 3,500 active users and 17 departments. Then, they converted to our consumption model. The growth was rapid. In just one additional year, they added 2,300 more active users and more than doubled the number of departments and use cases. This has dramatically increased the return for the customer and, of course, has strengthened our relationship in the account. In support of our shift to the consumption model, focusing on our customers' adoption of our platform brings complete alignment between us and our customers around multiplying value. It's all about opening up unlimited use cases to address a completely expanding list of customer needs. And it helps us learn more about what drives customer success. For example, which product features and functionality in our products really drive expanded usage? What of our support behaviors drive additional adoption of our products? It shifts the dynamic from trying to sell the customer more products to helping them find more ways to receive value. Now, the progress we've made with our consumption model and with our launch of freemium has dramatically altered our ability to be successful within the ecosystem and our partners. Only recently, we've changed our architecture to allow Domo to drive consumption for partners like Snowflake, AWS, and Microsoft. Before now, we've had conflict in the channel, where we sometimes drove consumption or compute away from our vendors. With the architecture changes, we now allow customers to choose to keep the data and the associated querying and processing of data with our partners. It was a substantial investment on our part, but we are very excited that this has all been reconciled. Because of these changes, we'll be making some announcements soon, describing partnerships where customers are able to retire spend by purchasing Domo through various app stores and marketplaces from major tech players. As it relates to AI, this is another area where consumption allows our customers to get in and start seeing the value of AI in their business without an upfront commitment or investment. As mentioned earlier, we've seen dramatically higher uptake in our data science offerings among our consumption customers compared to our seat-based customers, and we expect to see similar levels of adoption as we continue to expand our AI service layer and other AI offerings. The consumption model will expose many more customers to AI because they don't have to sign a contract before they start using it. This in turn, of course, drives consumption. We have several AI-related product launches lined up for the coming months that will help our customers build reports and interact with their data in a ChatGPT-like fashion. Now, to illustrate the impact of this new model that has already penetrated over 20% of our ARR, please let me share some real-life examples from some of our customers. So first, a significant new logo win with a Canadian retailer that was using competing BI solutions was having issues with silo data and with connecting to data in disparate systems. The company chose Domo for our consumption model, which made it easy for them to sunset legacy seat-based tools when they weren't sure they were getting the value that they needed. We are starting to see more and more of these cases, and it's certainly good to be the consolidator. A healthcare software company was using our Domo Everywhere solution to provide data to their medical customers. The company was adding new Domo Everywhere customers at a faster rate than expected and it was challenging under a seat-based model where they had to commit to their investment before receiving the value. Since transferring over to consumption now, our customer has tripled their contract size with us, and yes, that math works. An educational software company was debating which vendor to use for their ETL needs. They entered into an upsell contract with Domo, not only because of our ETL features, but because our consumption contract structure allowed them to predict their cost with a high level of confidence. Additionally, the company had been considering using Domo Everywhere to provide embedded analytics to thousands of their end users. Moving to a consumption model, opened the door for them to test out our Domo Everywhere experience in a very cost-effective manner. And then, because of the value they've seen in the Domo platform, this customer has committed to dramatically alter the scale of their investment and agreed to a two-year six-figure ARR contract in Q3 with a significant upsell built into the second year. Is consumption driving adoption? It certainly looks like it. Another example is a financial services company that purchased Domo to consolidate data from multiple loan origination systems. The consumption model was key to their decision to go with Domo because it unlocked our data science and sandbox features, which were critical to their use case and would have been outside their budget under our seat-based model. Does access to all of Domo help customers unlock the value of the entire platform and become more committed to the entirety of our platform? I think so. A digital customer engagement platform company has been a Domo customer for a decade. The initial use case was for sales and marketing analytics. However, about a year ago, the company was considering a cancellation because they felt like they were paying too much per seat for about 350 users. What saved the account was a move to consumption with unlimited users. Using our product, they created an app, and because they have unlimited users, they were able to deploy the app company-wide, and now have over a thousand users on Domo's platform. Not only did we save an account that was going to cancel, several months after they converted to consumption, they actually committed to an increased level of consumption and upped their spend with us. Now, would we have been able to save this customer without consumption? No. And now we have an upsell. Looking outside of Q3, here's a few more examples of how consumption is changing the game for us. A healthcare analytics company, which is using several of our larger competitors, is looking to replace some business objects and other legacy providers. Consumption is allowing the company to replace the other vendors and expand Domo without the friction of a new contract discussion. Can Domo benefit from vendor consolidation? Yes, we can. Another small highlight is a digital asset company that was about to cancel because they thought we were too expensive for the number of users they had in the account on seat-based pricing. They moved to a consumption contract with unlimited users. Additionally, they agreed to triple their contract size, and then, just last week, agreed to triple it again. So, they are now close to 10x their original size, as opposed to just recently being on the brink of canceling. Do I wish that all my customers were on consumption contracts? Yes, I do. Lastly, an insurance company that was paying us $200,000 a year moved to consumption because our seat-based model didn't allow them to expand as rapidly as they wanted to. With the initial move to consumption, they increased their contract with us by over $100,000. 15 months later, after they had been able to fully realize the value Domo can provide due to having unlimited users and functionality, they added another $200,000 annually to their contract to replace their spend with Cognos. So, in totality, I think these are some great examples of multiple customers that highlight the progress we are making as a company. Now, while we are marching toward improving the prospects of the company, we are also optimizing our costs so we can operate as efficiently as possible. To that end, we've made changes that impacts approximately 7% of our workforce, as well as reductions in contractors, marketing programs, and other expenses. We are cognizant of the effect this has on people and would like to take a moment to express our gratitude to everyone for their contributions. Now, as we look to the future, I'm sure you can feel my energy around these pivots we're making and the signals we're seeing from customers and partners that resoundingly convince us that they're the right moves. Even when we were growing 30% quarter-over-quarter -- year-over-year, I wasn't this optimistic about our future and our stability as I am now. We're quickly migrating to the consumption model. In Q4, we'll have the vast majority of our new logo customers on consumption and we will continue to encourage our existing customers to switch to consumption, resulting in the vast majority of our ARR transition to the consumption model within the next year. Freemium, our adoption programs, and our AI investments will continue to bolster our efforts in moving to consumption where customers are able to experience value and see the vision of what Domo can mean to their company before having to pay and commit to everything. All of these changes will also lead to a dramatic shift in our approach and success with partners and the broader ecosystem over the next 12 months, which should meaningfully impact our ability to generate leads efficiently. Domo is becoming a much more interesting company with prospects that excite our broader team. And with that, I'll now turn it over to David.
David Jolley: Thanks, Josh. I love those examples. Like you, I'm excited about our key areas of focus and believe we're really well positioned to execute on the opportunities in front of us. Now, while we aspire to higher growth rates than we're currently experiencing, I'm pleased that we were able to exceed the billings guidance that we provided at the beginning of the quarter. We delivered Q3 billings of $74.8 million, a year-over-year increase of 1%. Total revenue was $79.7 million, also a year-over-year increase of 1%. Subscription revenue represented 89% of our total revenue and grew... [Technical Difficulty]
Operator: One moment, everyone, while we reconnect the speaker line. Please stand by, and do not disconnect. Once again, everyone, please stand by. Once again, everyone, we are reconnecting the speaker line. Please stand by.
David Jolley: All right, are we back live again?
Operator: You are live. Please go ahead.
David Jolley: All right, very good. Sorry for the short delay. But thanks, Josh. I appreciate that and appreciate those great examples. Like you, I'm excited about our key areas of focus and believe we're well positioned to execute on the opportunities in front of us. Now, while we aspire to higher growth rates than we're currently experiencing, I'm pleased that we were able to exceed the billings guidance that we provided at the beginning of the quarter. We delivered Q3 billings of $74.8 million, a year-over-year increase of 1%. Total revenue was $79.7 million, also a year-over-year increase of 1%. Subscription revenue represented 89% of our total revenue and grew 3% year-over-year. And our ARR grew roughly in-line with subscription revenue growth. In reviewing the metrics that will impact the remainder of the year, our current RPO was $230.8 million, consistent with last year. And our total RPO grew 4% to $367.2 million as of October 31. On a dollar-weighted measure, we continue to have approximately two-thirds of our customers in our multi-year contracts. Our gross retention was above 85%, and net retention was about 95%. Last quarter, we identified potential renewal challenges with several large customers. And while we and some of our customers continue to face challenging IT spending environment, in Q3, these renewals discussions played out somewhat better than expected, which did help our results. In regards to the large renewal risks that we had identified last quarter, we have saved a few of them and have not identified any beyond those that we had identified in last quarter for the fourth quarter. Moving on to margins and profitability. Our subscription gross margin was 84.8%, up 0.2 percentage points from Q3 of last year. And non-GAAP operating margin was a record high 6.3%, up 5.4 percentage points from a year ago. Our net loss was very close to breakeven at $24,000, which is our best result to date, and a big improvement from a net loss of $4.4 million a year ago. Net loss per share was $0, based on 36.3 million weighted average shares outstanding, basic and diluted. In Q3, cash used in operations was approximately $4.3 million. We capitalized approximately $2 million of software costs, resulting in a decline of our cash balance of $6.5 million from last quarter to $57.4 million. Cash flow from operations in Q3 was negatively impacted by the timing of collections on some receivables. However, we're still on track to generate positive operating cash flow for FY '24, and therefore, expect our Q4 cash flow from operations to be in the range of $3 million to $4 million. Looking forward to next year, we're committed to not only being operating cash flow positive, but we are targeting free cash flow positive for FY '25. In order to bring our cost structure in alignment with this target, we recently reduced our headcount-related expense by approximately 7% and also optimize a handful of other costs. For Q4 top-line metrics, we're guiding to a billing range of $102 million to $103 million, and expect GAAP revenue to be in the range of $79 million to $80 million. For the full year of fiscal '24, we expect billings to be in the range of $317.7 million to $318.7 million, and we expect GAAP revenue to be in the range of $317.8 million to $318.8 million, representing year-over-year growth of approximately 3%. We expect non-GAAP net loss per share, basic and diluted, of $0.05 to $0.09 for Q4. This assumes a 36.8 million weighted average shares outstanding, basic and diluted. For the full year, we expect non-GAAP net loss per share, basic and diluted, of $0.24 to $0.28. This assumes 36.1 million weighted average shares outstanding, basic and diluted. Additionally of note is the fact that we've engaged an investment bank to assist us with refinancing and extending the maturity of our outstanding debt. And at this point in the process, we have a significant level of interest from potential lenders. In conclusion, we posted better-than-expected top-line results with record profitability and believe we're making the right moves to drive long-term profitable growth. With that, we'll open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] We'll take our first question from Eric Martinuzzi with Lake Street Capital Markets. Please go ahead.
Eric Martinuzzi: Yeah, congrats on the good numbers for the quarter, and I appreciate the examples regarding the capacity-based pricing impacts. I wanted to understand a little bit more on the risk of non-renewals. I think last quarter, you talked about four or five enterprise accounts that were in danger and that was part of the reset to the outlook for FY '24. Can you give us a little better color? Have we reached resolution on those four or five at-risk enterprise accounts?
Josh James: Yes, we've reached resolution. Good news, we were actually able to keep a couple of them just with down sales, but we still kept them as customers. So that was a little bit of a bright spot when it came to the bad news. And this quarter, we've -- given the guidance, we're obviously not -- we're not on a toward pace here, but we, at the same time, feel pretty good about looking out over the next three, four quarters in terms of the pacing of where customers are that are at risk. It feels like we hit the bottom of that, and we're recovering from that. And like we mentioned, many of the examples with the consumption pricing, we actually end up on the consolidation, being the consolidator side of the equation versus having just being impacted by others. So, the move to consumption definitely changed the relationship with a lot of our customers and has helped us save a bunch of accounts. And we think especially as that plays out over the future, like we talked about, there's so many upsells that we're getting from these accounts. If you look at the cohort of customers that have been through renewal, we haven't lost any customers that have signed up to consumption. And it's a smaller sample size, 30 to 40, but as that number gets bigger, we'll keep watching that. But it certainly is extremely encouraging looking at the 20% of our business that's purely consumption and knowing that we can get that number to a vast majority just over the next 12 months.
Eric Martinuzzi: Okay. The other comment that you made last quarter was regarding the pipeline. And you characterized the pipeline back then as soft in all stages. I'm wondering if you could update that view on the pipeline.
Josh James: Yeah, it feels -- as we look at the numbers, it seems like we've started to turn. There's seven, eight, nine numbers that all feel like they've barely started to turn, but it's barely. But all of our checks, it looks like things are -- hit the bottom last quarter and just are starting to slightly improve. So hopefully that's how things play out. But we're feeling like we have our arms wrapped around the situation much better and we feel like we're in a much better position in terms of the relationship that we have with our customers and our ability to sell consumption, our ability to get our customers over to consumption, training up the reps, training up the client services folks, focusing on adoption and helping people find these additional use cases. So, we feel like we're much better positioned and feel like we've got much better visibility into the customers and the contracts at this stage.
Eric Martinuzzi: Understand. Good luck in Q4.
Josh James: Thank you very much.
Operator: [Operator Instructions] We'll take our next question from Oliver Crookenden with JMP Securities.
Pat Walravens: Actually, it's Pat, but -- Pat Walravens with JMP Securities. Thank you. So, Josh, I do love the shift to consumption, and we've seen a lot of other people do it, but I was wondering if you could balance it out a little bit. I mean, there are some negatives to the consumption model, too, right? So, what do you give up when you make this shift?
Josh James: Yeah, we -- I think if you went around the room and e-staff and tried to figure out what the negatives are, I don't -- we're not seeing any negatives. The one difference in the model is you're not going to sign up any seven-figure new logo deals, right? When you go start to use AWS, you don't walk in and be like, "Hey, give me a couple of million bucks worth." You try it out and you start spending it and if you like it, you decide that you want to commit to get lower rates, and we're seeing that same thing. So, brand new seven-figure buildings walking in the door, we're not going to have as many of those. They'll happen, but they'll happen as those customers grow. So, we're seeing those relationships. We have some really big customers that are signing up right now that on the old seat model, we'd be signing up for $3 million, $4 million, but -- annually. But in the consumption model, you sign them up for $400,000 and then another $500,000, and then you get to a couple of million bucks. And you still get to the same spot. You get there more efficiently, more effectively. There's not as many -- not as much hemming and hawing. You're not going through as many use cases and approvals internally, but at the same time, you also don't have the big billings hits until they've had time to bake. So, we'll have to wait for some of those things to bake a little bit.
Pat Walravens: Okay, great.
David Jolley: I think, Pat, another -- just another comment was that I think early on there was a concern, well, geez, if we're giving them whole platform, is there going to be anything to sell them later on? And there was some concern about that. But the way that's working is when we provide the whole platform and open up all the seats, it's then just about helping the customer identify how to solve more of their data issues and more use cases. And as they do that, that's the upsell. It happens very naturally.
Pat Walravens: Okay. So, there's not a near-term hit on cash flow, like you don't get less cash upfront when you go to a consumption model? I mean, maybe not...
David Jolley: No. I mean still AIA...
Josh James: subscription.
David Jolley: Yeah, subscription AIA. So...
Pat Walravens: Okay. Perfect. And then, my second question is, Josh, if you could go a little deeper -- actually, I'm able to tell you my other two question, I'll put them up out front. So, for Josh, if you could go a little deeper on the architectural change and help us understand the history of that, what was it before and what is it now and how does it work? And then, maybe if you guys could address the debt in a little more detail, just sort of what's the current rate, when's the current -- when's the maturity and what's your options look like? Both of those things would be really helpful. Thank you.
Josh James: Yeah. So, the problem before, when we were starting to get excited about the ecosystem and we were building relationships with some folks, especially the big data providers, we'd walk into accounts with reps, and then their customer that they introduced us to might start pulling some compute out of our partner and putting it into Domo. And of course, that's the end of those relationships, right? You're taking dollars out of the pockets of the reps of the partners. And so that was DOA as soon as that started. And so, what we've done now is we said, okay, we can take that compute component, where the data lives and how it gets queried and processed, and we can run that inside Snowflake or inside AWS or inside Microsoft. So, any partner that brings us in, we can keep all the computing charges and credits that are being used up actually with the partner. And so that changes the dynamic pretty meaningfully because now we have complete alignment except for instead of 40 users that you may have at -- even a big Fortune 500 company, from 40 users or 100 users to 5,000, 10,000, when you add the Domo front-end on top of that. And that's 5,000 and 10,000 people that are now querying and running reports that are all driving compute on the back-end of a Snowflake or a Databricks or a Microsoft or an AWS or Google. So, we feel like we're in a much, much better position. And that coupled with premium, there's been plenty of conversations where we're talking to a partner and someone that maybe we have 300 customers that have connected to their data. So, we know it's popular inside our network and we know that we provide a lot of visibility into the data that's inside that partner's analytics and the partner will come to us and say, "Gosh, it'd be great if we could give this to the other 10,000 customers that we have." And then we say, "Yeah, great. You should do that. It's, let's see, $840,000." And the partners like, "What? Well, we don't know the values yet." We're like, "Yeah. But we will give you upside if they converted to the Domo customers." They're like, "Yeah, that seems like a good idea on paper, but I don't know if we can lean in and make the commitment, make the investment without seeing a return. So, maybe we should just try it out with a couple of customers." And by then, you've lost momentum. Whereas now, we can go in that same customer, that same conversation, we say, "Yes, we can get it to all 10,000. Let's do it on freemium. Let's build some quick start guides so that the second you roll this out, the customer is able to log into Domo, see all of the data from you as a partner. We'll build out the dashboards. We'll build out the alerts." They're going to get this great white-glove, perfect experience replicated 10,000 times automatically. And in there, they can see, "Hey, this is your Domo experience for this data from your partner. If you want it for everything else, here's your freemium account, just keep going." And then, we tell the partner, "Any upside, we're going to give you guys a piece of it." So all of a sudden, providing data to their customers becomes not a cost center, it becomes a profit center. And we've seen a bunch of traction in just even the last month for that. So, we're really excited about our ability to provide Domo Everywhere through our freemium offering.
Pat Walravens: Great. And then, Dave, on the debt?
David Jolley: Yeah. So, our current debt, as you might recall, we raised that debt even prior to our IPO when we were still using a lot -- consuming a lot of cash. And so, it's very expensive debt. It carries a cash interest component and a PIK interest component, some other payments that push the effective interest rate north of 14% is where we're at today. And it's got a maturity of April '25. And so, we've gone out with a refinancing and got a bank helping us, and we're looking at cash interest component of a little over 11% right now based on where SOFR is at. We're hearing some good things about where rates might go next year, but it'll bring our rate down substantially and push our maturity date out to '29 or '30. So, it sort of puts it out well out into the future and it eliminates some of the other PIK interest and some of the other elements.
Pat Walravens: All right, terrific. Thanks to both of you.
Operator: One moment everyone, the speaker line has disconnected. One moment we reestablish the audio. Once again, everyone, please stand by. We'll establish that audio line momentarily. Please stay on the line. Once again everyone, you are on hold for the Domo, Inc. conference call. We are establishing the speaker line. Please stand by. You are now live.
Josh James: All right. Sounds like Pat said thanks, we heard, and there was another question. Is the question still on?
Operator: Yes. One moment. We'll take our next question from Derrick Wood with T.D. Cowen.
Unidentified Analyst: Hey, guys. Thanks. This is Cole on for Derek. On the RIF that you talked about, we'd just like to get a little bit more color. Is that across sales, G&A? If you can just unpack that a bit, that'd be helpful.
Josh James: Yeah, we -- it was across every department. There was -- the majority of it was in sales. We're in terms of growth, not where we want to be. And so for the most part, it was based on performance. Some of it was just positions that were eliminated, as we found a more optimized way of accomplishing certain things. It wasn't a huge number, but it was still several dozen humans that were affected. So, a little bit of a rough day here at the office, but at the same time, I feel like the company is in a better position. And it's not a dramatic effect on our ability to produce. We think in many cases, actually, taking a smaller number of leads distributed -- I mean, taking the same number of leads distributed to a smaller number of reps will actually be an improvement for the reps that are here to make sure that they're being fed. So, overall, I don't think it's going to be too impactful to our company. It just, obviously, impacts the folks that were affected by it.
Unidentified Analyst: Sounds good. Helpful. Just building on that too, for the reps that you still have at Domo, how is productivity trending? Any new initiatives around helping them sell consumption better would be helpful to hear about things.
Josh James: Yeah, we have all kinds of initiatives around helping them to consumption. We had a Board meeting just recently and walked through our consumption deck and showed the Board members all the positive things that are happening and all the negative things that we might be able to find as well. And the resounding answer was -- from the Board was, "Move as fast as you possibly can. We don't see anything that would cause us concern about you moving as fast as you possibly can." So, to that end, doing as many things as we can to drive the transition to consumption, things like we've built out a brand new adoption group that's focused on going into our -- especially our bigger customers, and helping them, it's a great phone call. We call a customer, and we're not asking for a new contract. We're not asking to go get approval from procurement. We're just walking in saying, "Hey, we'd love to come in and show you best uses for data science," or "We'd love to come in and talk to you about identifying opportunities inside your marketing spend." And they love those conversations. All we're doing is walking in and helping them, but we're helping them identify additional use cases, which, of course, ends up driving consumption. So those are the types of things that we're doing with the customer. And then, we're re-evaluating the different departments that we have and what each group does. So, reps, their job on renewal. What's what is the job on renewal? Is the job to go and procure another contract, or is the job to help identify some more use cases? And so, just identifying those different ways that we can interact with our customers to help get them excited about adding additional users and adding additional use cases. It's really fun for the customer, and it's really fun for us. They end up happier. They end up spending more. And those are the types of things that we can really do to address transitions to consumption. There are some customers that are on seat-based licenses with us, and they don't have access to all the features. We have new features rolling out all the time, and if you want to use those features, then you need to be on consumption. And so, as we go out and market the different product offerings that we have and the new product offerings that we have, those all lead to additional consumption conversation. So, we're definitely laser-focused on that. We've seen this 20% cohort of consumption that's in our business today. And it looks better than every other 20% cohort that you could find. So, we're going to do anything and everything we can to get the entire business moved over to that because just everyone ends up happier on the consumption model.
Unidentified Analyst: Appreciate the color. Thanks.
Josh James: Yeah, you bet. Thank you.
Operator: Thank you. We'll take our next question from Sanjit Singh with Morgan Stanley.
Sanjit Singh: Yeah, thank you for squeezing me in. And sorry, I've been toggling between multiple calls, so if I'm repeating a question, I apologize upfront. But David, just given the -- sort of the refinancing of the debt and sort of the higher rate environment and given the sort of actions you guys are doing today on cost, to what extent could debt pay down be part of like the capital allocation strategy, given that the budget environment is still pretty constrained right now? How do you look at debt pay down a potential lever for increasing sort of the equity value?
David Jolley: Yeah. I mean the good thing is even sort of as is with a very modest growth expectation for next year, I think we're free cash flow positive, which puts us in a great position. So, if we're able to accomplish some of the things that Josh talked about in accelerating our shift to consumption, and if we get any sort of help from the macro environment, then we're into producing some meaningful cash flow that then could be used to potentially retire some debt. As you know, there's usually some penalties when you pay it down in the first year. So, we'll look at that. But I think it'll be -- probably will be a lot better position as we move into some of those succeeding years to start reducing that well in advance of maturity, certainly.
Sanjit Singh: Great. I appreciate the thoughts. And then, Josh, on -- I was just kind of coming out of the AWS conference, and when I hear about people's data strategies, one of the bigger themes is sort of English being the new programming language and English being the new SQL. And just want to get a sense of how you guys are sort of abstracting away kind of traditional BI type user interfaces to more of that generative AI modality where users are just sort of using natural language, English, to get the insights that they need from Domo?
Josh James: Yeah, I mean it's terribly exciting because one of the most challenging things in business intelligence or in leveraging the data that you have in your company is just getting access to it. And the big part of getting access to it is connecting to it, all of the ETL that needs to go into it. And you're right, that's where these antiquated languages used to be a big part of it. And going forward, it is about English. And we have a bunch of stuff that we've already incorporated into our products, a bunch of AI that we've incorporated into our product, and a bunch of generative AI that we're going to be incorporating over the next few months into exploring the data, into building cards, into sharing data, having a data set and having AI suggest to you what you should look at, what format it should look like, being able to pick and choose from things that it suggests to you, fully formed reports. And so, it's going to dramatically alter the landscape. It's going to dramatically alter the interactions and the benefits that the customers get. So, we're really excited about that. We feel like we're extremely well positioned. When you look at the data that powers AI, it all depends on how organized that data is. And if your data is organized like a bunch of trash, then that's exactly what you're going to get back. When you use Domo, you actually not only organize your data, but you have a bunch of metadata about that data. And that's what helps AI really come up with great conclusions when it actually has an indication of what type of data is sitting there because in the data world it could be anything. It could be unstructured, messy data, and it might be data that's coming from another data warehouse. You actually don't know the root source of it, and so you need to be able to have the metadata around that and have data organized in a way. And that's one of the things that we really do with our customers, is help them organize that so that they can take advantage of all the different technologies and innovations that are rapidly coming out from AI. So, we feel like we're extremely well positioned for that. And that's another big part of why we want to be in the middle of consumption, because again, if you're using consumption, anything that is in our product, you can try out. It's going to cost you a buck to try it out. It's not a $50,000 commitment and you've got to buy a couple seats. It's just go and click on it, see what it does, see if it produces something that's effective. And then, if it does, of course, you're going to start using it more. And because you already know it's effective, even though you're using it more, you're getting a bill for it, you don't care because you already proved the value. So that's just another reason why consumption is such an important part of this, where we see 2x, 3x usage of the additional features and functionality we have in our product when it's a consumption customer, because they're able to try it out and prove that it works. So, we're really excited about AI and the way it's going to impact our business, broadly speaking, and feel like we're really well positioned to take advantage of that.
Sanjit Singh: Appreciate the thoughts, Josh. Thank you.
Josh James: You bet. Thanks.
Operator: And that does conclude today's presentation. Thank you for your participation today, and you may now disconnect.